Operator: Good day ladies and gentlemen and welcome to the Prestige Brands Holdings second quarter conference call. My name is Madge and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Mr. Dean Siegal, Director of Investor Relations. Please proceed.
Dean Siegal: Good morning. Welcome to Prestige Brands fiscal 2009 second quarter conference call. During this call statements may be made by management of their beliefs and expectations as to the company’s future operating results. Statements of management’s expectations of what might occur with respect to future operating results are what is known as forward-looking statements. All forward-looking statements involve risks and uncertainties which in many cases are beyond the control of the company and may cause actual results to differ materially from management’s expectations. Additional information concerning the factors that might cause actual results to differ from management’s expectations is contained in the company’s annual and quarterly reports that it files with the Securities and Exchange Commission. Now I’d like to introduce Mark Pettie, Chairman and CEO.
Mark Pettie: Thank you Dean and a good morning to all of you joining us on the call. In addition to Dean with me is Pete Anderson, prestigious Chief Financial Officer and also joining us today is Chuck Jolly our General Counsel. I will begin today’s call with a brief overview of our second quarter results. Pete will then review the full financials for the quarter in more detail. I’ll follow that with highlights of our segment performance and a brief update on our progress against the four strategic growth thrusts guiding our efforts this year. We’ll then open the call for questions. So getting underway, our reported total revenues for the second quarter were $88.1 million, a 1% increase over last year. As indicated in our press release, this increase is in part attributable to the launch of our breakthrough innovation products in the allergy category, Chloraseptic Allergen Block and Little Remedies Little Allergies. In addition we saw sales increases on several other brands, most notably Clear Eyes, Comet, and our base Little Remedies lines. Partially offsetting those sales increases were declines in Murine Ear and our two wart care brands, Compound W and Wartner. As you might remember from last quarter’s call, the cryogenic of the wart remover category took a rather steep price reduction as our fiscal year and the summer wart season began. During our fiscal first quarter the Compound W Freeze Off business in particular was significantly depressed by the fact that our new, lower priced eight application products did not get into certain retailer’s sets until late in the quarter, with some of that transition carrying into Q2. On that call we projected that in the second quarter, wart care revenues would continue to be down versus year ago due to the significant cryogenic segment price declines but that we would see meaningfully improved performance relative to Q1. That has proven to be the case as the pricing came into line and we restored advertising support to Compound W. Returning to our overall corporate performance, reported net income for the quarter of $8.5 million or $0.17 per share was $1.7 million or 25% greater than last year’s reported net income of $6.8 million or $0.14 per share. The improvement in net income was primarily due to a significant reduction in interest expense resulting from the $51 million of debt paid down over the past 12 months combined with a reduction in interest rates. Finally, we generated $18.2 million of free cash in the quarter an increase of 40% over the second quarter last year. Our continued strong cash generation helped us pay down $11 million on our outstanding term loan during the quarter, reducing total debt to $385.2 million at September 30. So that’s the summary for the quarter and now I’d like to turn the call over to Pete who will provide additional commentary and financial detail. Pete.
Peter J. Anderson: Thank you Mark and good morning everyone. As Mark mentioned, net revenues for the second quarter of the $88.1 million were 1% above last year’s net revenues. Operating income for the quarter of $20.5 million was essentially even with last year’s operating income of $20.6 million and our net income of $8.5 million was $1.7 million or 25% greater than last year’s net income of $6.8 million. The significant net income improvement on essentially flat operating income was due to a $2.8 million reduction in interest expense in this year’s quarter due to the large pay down of debt over the past year, combined with significantly lower interest rates in the current year compared to last year. Since September 30, 2007 our senior secured term loan facility has been reduced by $51.9 million to $259.2 million. The average interest rate on our senior secured term loan facility dropped from 7.74% for the quarter ended September 30, 2007 to 4.75% in the current year’s quarter. Looking ahead, due to the very difficult borrowing environment we have made a short term decision to use our strong cash flow to build a cash reserve on our balance sheet to enhance our liquidity position. Our intent is to build a cash reserve on the balance sheet of approximately $30 million. That means for the next two quarters we expect our total debt outstanding to be reduced only modestly from today’s level of $385 million. Towards the end of our fiscal year, when we have built our reserve, it is our intention to resume our debt pay down. Now I’d like to turn back to our operating performance for the quarter. Cost of sales for the quarter of $41.8 million was $1 million or 2% below cost of sales in the prior year, despite our sales increase. As a percent of revenue the cost of goods sold declined from 49% in fiscal year of 2008 to 47.5% in the fiscal year of 2009. During the quarter we benefited from a positive sales mix combined with the continuing positive effects of our systematic cost reduction program, which continued to mitigate cost increases on packaging, raw materials, and transportation which we continued to experience in the second quarter. In addition obsolescence expense was favorable to last year’s second quarter, which included a provision for the Little Remedies Cough and Cold product voluntarily withdrawn from the market. Advertising and promotion expense of $13.6 million was $2.6 million or 24% greater than spending of $11 million last year. Introductory A&P spending against the new Chloraseptic and Little Remedies Allergen Block products, combined with continued strong support against last year’s breakthrough innovation products, Murine Earigate and Comet Mildew Spray Gel were the drivers of the increase in spending for the quarter. G&A expenses of $9.4 million were $800,000 less than the prior year’s expense of $10.2 million. The decrease was primarily due to lower legal expenses versus last year’s second quarter. As we mentioned on the last call, the litigation to defend our Doctor’s NightGuard patents and trademarks is ongoing. As a result, we anticipate legal expenses to continue to exceed what we would consider to be a normal run rate until this case is concluded. Now I’ll briefly review the second quarter results by segments. Net revenues for the OTC segment of $50.3 million were $300,000 or 1% greater than last year due to sales of our new Chloraseptic Allergen Block, the Little Remedies Little Allergies products plus sales increases on the Clear Eyes, the balance of the Little Remedies line and the Doctor’s brands. Those sales gains were partially offset by declines on Compound W, Wartner, Thermaplast and the Murine brands. Gross profit for the segment was $32.8 million, 8% above last year’s gross profit of $30.3 million. Gross profit as a percent of revenues was 65.1%, a substantial improvement over the prior year gross profit of 60.6%. The improvement over last year was due to favorable product mix, continuing benefits from the cost reduction program and positive benefits of the pricing actions taken on some of our OTC items last March. In addition, gross profit for the OTC segment last year was negatively impacted by the reserve [props] lessons on Little Remedies, which I mentioned earlier. Contribution margin of $22.1 million for the segment was essentially flat with the year ago quarter. A&P spending for the segment of $10.7 million in the current year was $2.5 million or 31% greater than last year’s A&P spending of $8.2 million. The increase was driven by the introductory television advertising for Chloraseptic Allergen Block and Little Remedies Little Allergies and continuing spending against Murine Earigate. Our household products net revenues of $32.1 million were $700,000 or 2% greater than last year. Sales increases for Comet, led by Comet Mildew Spray Gel were offset by declines on the Chore Boy and Spic ‘n Span brands. Gross margin of $11.2 million was $600,000 or 5% below the prior year. The decline was due to increases in product and freight costs. The household products segment contribution margin for the quarter of $8.5 million was $800,000 less than last year due to the gross margin decline, combined with an increase in advertising and promotion spending in support of Comet Mildew Spray Gel. Net revenues of $5.6 million in the personal care segment were $300,000 less than prior year. Gross profit of $2.3 million was $100,000 less than last year due to the sales decline. Our contribution margin of $2 million was $100,000 less than last year due to the gross profit decrease. Free cash flow for the quarter which we define as operating cash flow less capital expenditures was $18.2 million. That represents a $5.2 million improvement over free cash flow of $13 million generated in the quarter ended September 30, 2007. The improvement is due to the increase in net income and an improvement in working capital. As Mark mentioned our continued strong cash flow in the second quarter helped us to pay down $11 million on our term loan during the quarter. On a trailing 12 months basis we have paid down $51.2 million on our term loan debt. And now I’d like to turn the call back to Mark who will provide additional Q1- Q2 perspective and discuss progress against our four strategic thrusts.
Mark Pettie: Thanks Pete. Let’s begin as we usually do with our OTC business where revenue growth of 1% mirrored our overall corporate growth. This performance reflects a number of factors led by the continuing strength of our Clear Eyes franchise, the success of new items in our Little Remedies and the Doctor’s brand, and the launch of our new breakthrough innovation Allergen Blocking products. Partially offsetting these gains is the continuing impact of the pricing dynamics in the cryogenic wart care segment that I mentioned earlier and that we detailed for you on our first quarter call. As we projected in that call, the unfavorable impact of these dynamics has diminished significantly versus our first quarter but continues to hinder overall OTC performance. And as we also mentioned in our last call, in Q2 we lapped last year’s very successful introduction of Murine Earigate, resulting in unfavorable comps for that business. Touching briefly on each of these items, Clear Eyes continues to exhibit solid momentum with factory sales up 4% and consumption up 9%. This performance continues to be reflective of the combination of the new item launches and pricing actions of late Q4 last year combined with a very effective integrated television and radio advertising campaign. Little Remedies grew 37% in Q2, driven by three factors. The first factor has been the introduction of our Little Noses Saline Mist which delivers non-medicated pediatric cough/cold relief in a new form. This product supplements our existing nasal spray business and is providing considerable incremental growth in the expanding pediatrics saline segment. The second factor has been securing dual placement of many of our Little Remedies items with one of our major drug customers. Early returns on this program indicate strong incrementality for this customer and we expect continued success will make for a compelling selling story with other customers. Our lacking of the one time cost associated with last year’s industry wide voluntary withdrawal of medicated oral pediatric cough/cold products is the final driver of our Little Remedies growth. As you may have heard, it was announced in early October that the industry, in consultation with the FDA, is proactively moving to revise graphics and dosage labeling for these products, raising the threshold for usage to age four and above. This change has allowed us to get our two voluntarily withdrawn SKUs reinstated in a number of accounts. But it came too late to influence the seasonal cough/cold resets in the majority of our customers. As a result, there will be a modest benefit to Little Remedies in fiscal ’09, but broad reinstatement will not be possible until the fiscal year ’10 cough/cold season. During the quarter the Doctor’s brand of oral care products grew 9%, reversing a trend of five quarters of decline. The Doctor’s NightGuard Advance Comfort anti bruxism product introduced in late Q4 was the key driver of this improved performance. In Q1 it staked out the position as the number one selling anti bruxism device in the category and it grew that position during a strong Q2. This performance was augmented by strong sales of the Doctor’s BrushPicks, driven by distribution gains and improved sales velocity to key drug and mass customers. Moving to our Allergen Block launch, in Q2 we successfully completed the sell in and pipeline fill of both the Chloraseptic and Little Allergies version of this breakthrough innovation. Public relations support began in mid-August with introductory television and consumer trial building initiatives kicking off in mid-September when retail distribution reached critical mass. While it is still very early in the launch, we are pleased with the consumption we have seen during the latter half of the fall allergy season. Unsolicited consumer feedback has been very positive and A&P support for this exciting new launch will continue through the fall. As we saw with last year’s breakthrough innovation introduction, Comet Mildew Spray Gel and Murine Earigate, we can also look forward to some halo impact from this advertising support benefiting our overall Chloraseptic and Little Remedies franchises. Offsetting these strong gains was a 13% decline in our work care revenues. While down versus year ago behind the cryogenic segment list price reduction, this represents a significant improvement from the 44% decline we experienced in Q1. As we discussed on our last call during Q2 we successfully completed the pressing transition of our Compound W cryogenic products at all major retailers and restored support behind our proven advertising copy. As a result, Compound W Freeze Off consumption grew over 5% in unit terms during the second quarter. At the same time, the salicylic acid segment of Compound W remained relatively stable, indicative of the strong loyalty our consumers have for this Compound W form. It is important to reiterate that we expect second half work care revenues to be down versus year ago driven by the cryogenic price decline but to remain significantly improved from our Q1 performance, now that the new pricing paradigm has been established. Lastly, sales of our total Murine ear business were off 28% in Q2 as we lapped a very successful pipeline fill and trial building support behind last year’s Murine Earigate introduction. Underlying consumption of the total Murine ear business was up 4% in Q2 with the Murine Earigate itself up 27%. The strong Earigate consumption was partially offset by a decline in the base ear wax drops in kit’s business due to heightened competitive activity and isolated inventory issues and distribution losses. Shifting to our household business, the 2 plus % overall revenue growth was once again led by our largest brand, Comet, which was up 9% over year ago. This growth continues to reflect the year two success of Comet Mildew Spray Gel combined with the strengthening of the base Comet Powder business. The Spray Gel factory sales growth of 52% was driven by distribution gains and continued advertising support while Comet Powder at plus 13% reflects our late Q4 price increase and improved velocities at a major mass merchandiser customer. The strong performance of these two key Comet forms was partially offset by declines in Bathroom Spray and Comet Cream. Our Spic ‘n Span and Chore Boy businesses decline during Q2 reflective of heavy levels of competitive activity. In the case of Chore Boy, we also lapped a large forward buy position taken last year in advance of a September price increase. And finally personal care revenues were down 6% for the quarter. It is noteworthy that this represents an 11 percentage point improvement from the trailing 12 month trend of minus 17%. As we mentioned on our last call, the return to the iconic Cutex Teardrop Bottle is having a positive effect on that business and at 16% factory sales growth in Q2 is largely responsible for the current amelioration of the negative trend in personal care revenues. Moving to our international business, revenues were essentially flat with continued growth in our Canadian business offset by declines in the balance of our international portfolio as we lapped the final effects of last year’s diversion eradication. Many of the new items we’ve planned to launch in Canada have successfully entered the market and dedicated consumer support is underway. With the impact of diversion now thoroughly behind us, we look forward to accelerated aggregate international performance in the second half. So that wraps up our review of Q2. We are generally pleased with the overall results and the restoration of organic sales growth after a challenging first quarter. We are also fundamentally happy with the quality of our earnings, with gross margin expansion reinvested in A&P, including a 31% increase in advertising spending. As we indicated on last quarter’s call, the investments that we made during the quarter, particularly behind our Allergen Block launches, should set the stage for improved organic growth in our second half. Q2 was also another period of progress against our four key strategic thrusts. As I’ve touched on certain of these earlier in my remarks, I’ll keep this update brief. The first of these thrusts is a more granular approach to running our business by marshalling the majority of our resources against our focus brands, that subset of brands in our portfolio with the highest long term growth potential. We built our fiscal ’09 plans around this revised portfolio management approach and subsequently reorganized internally to support it. In Q1 our focus brands grew 6%. In Q2 that growth reached 8%. While we’re only six months into execution of this key thrust, these numbers tell us we’re on the right track. Our second thrust is increased emphasis on breakthrough innovations. I’ve already spoken to the status of our fiscal ’09 breakthrough innovation, Chloraseptic Allergen Block and Little Remedies Little Allergies. Equally importantly our breakthrough innovation pipeline and particularly our fiscal ten lead candidates continue to advance in Q2. I look forward to providing more details on both the Allergen Block launch and our future breakthrough innovation ideas in the quarters ahead. An increased emphasis on international growth with Canada as the centerpiece is our third key thrust. In this regard, we are happy with our underlying Canadian performance year-to-date and expect continued growth in the second half behind our new products, stepped up advertising and dedicated internal focus. With respect to our other international markets, as I mentioned we are expecting growth contributions from them in the second half as we will have completely lapped last quarter’s – or rather last year’s diversion impact. In particular, we are projecting growth in our established markets such as the UK, Australia and Hong Kong behind new products, new marketing initiatives and selective pricing. Our fourth thrust is building our internal and external organizational effectiveness. I’ve already mentioned our internal moves, realigning our organization behind our new portfolio management approach and carving out dedicated resources to support breakthrough innovation and our Canadian emphasis. From an external standpoint, our primary initiative is our move to a direct selling organization covering most of our key sales channels. Here I’m pleased to report that we have made significant recent progress in bringing strong new talent on board and we are targeting early Q4 for completion of this transition. That’s a brief update on where we stand against the four key strategic thrusts. We remain satisfied with our progress to date in these areas and, while there’s still much in front of us, confident that continued diligence will result in improved organic growth in our second half. And now some final but important thoughts before we open the call to questions. Clearly, a lot has changed in our collective world in just the three short months since we last spoke with you. The economic situation is putting considerable pressure on any number of consumer companies including ours and is likely to for some time to come. While we cannot predict the specific impact to Prestige or rapidly evolving consumer sentiment we’re certainly not entirely immune to its effects or those of a recessionary economy. However, I feel it is useful to note three areas that provide some measure of comfort as we look ahead. First, the majority of the products in our portfolio are true consumer staples and their purchases are incident driven. People are still inclined to treat their sore throats, warts, red and dry eyes and children’s discomfort despite the prevailing economic situation. They’re also still inclined to keep their bathrooms and kitchens clean, all the more so if they find themselves staying and eating at home more often. Secondly, although private label products will certainly receive considerably increased consumer consideration in times like these, we believe our emphasis on driving frequent innovation through our focus brands, combined with compelling advertising, will help insulate them during this period by continuing to build brand loyalty. As current evidence with one modest exception, all our focus brands have built share in both Q2 and on a year-to-date basis. And lastly, as I profiled on our Q1 call, despite recent jumps in input costs we believe the combination of our systematic cost reduction program, improving product mix and selective pricing will allow us to minimally maintain if not enhance our gross margins versus year ago for the balance of the fiscal year. So to sum up, we are generally pleased with our Q2 results and the strategic progress that underlies them and acknowledge that continuing this progress is essential to achieving the improved organic growth we anticipate in the second half. Thanks for your attention. The call is now open to questions.
Operator: (Operator Instructions) Your first question comes from Bill Chappell – Suntrust Robinson Humphrey.
Bill Chappell – Suntrust Robinson Humphrey: If you could talk a little bit more about the A&P spend in the quarter, maybe give us an idea of how much of it was launch related cost and how much of it we should see as kind of ongoing cost? And then if there is anymore granularity you can give around the new Allergen Block products in terms of ACV or market share or what gives you the enthusiasm you talked about?
Mark Pettie: Yes, Bill, obviously as you know we’re not going to be specific around the spend and how much we put behind each product but I would say that what you see in the increase versus year ago primarily is support behind the launch of the Allergen Block products. We also have, as we have committed to, second year spend behind Murine Earigate and Comet Mildew Spray Gel inside those numbers. So I think you can expect that level of spend, particularly behind the Allergen Block products to continue as we move forward to get those established. Now clearly we’re moving out of the allergy season and into the winter, so while we will continue to spend through the fall, we’ll go into a somewhat lower level of spend as we head toward the spring allergy season and then you can expect it obviously to ramp up again as we get toward that time of year. With respect to the Allergen Block launch, it’s very, very early and the metrics we are taking our enthusiasm from really are early PLS movement that we chart through some of our major retailers. And we had obviously set internal metrics for how many units per week we expected to move. And right now we’re very pleased with the performance against those sets of internal expectations.
Bill Chappell – Suntrust Robinson Humphrey: And switching just to the balance sheet, I didn’t fully understand the rationale for the near term cash build. Can you just help me understand why do that versus paying down debt in the near term and maybe what your overall interest rate looks like on a fixed to floating?
Peter J. Anderson: Bill on the fixed we are – we’ve, as you may know, we’ve hedged $175 million of our senior bank debt at LIBOR 2.88. So that leaves about $75 million that’s floating. And then obviously the $126 million of bonds at 9.25. So that’s fixed as well. And our decision to build cash on the balance sheet is simply because lending as I’m sure you know has gotten very tough to come by. And what we want to do is just insure we’ve got sufficient cash so if we need it we’ve got it. So the reason that we wanted to highlight this is because people’s models that would normally predict that we’re going to pay down between $10 and $15 million a quarter, certainly that’s going to be affected in the short term.
Bill Chappell – Suntrust Robinson Humphrey: Presumably that the cash here on the balance sheet is at least earning 2%?
Peter J. Anderson: It’s tiny. And at the end of the day, what it’s earning certainly is less than interest rates that we’re paying even with the hedge that we have.
Bill Chappell – Suntrust Robinson Humphrey: Can you tell us what the legal expenses were in the quarter?
Peter J. Anderson: No. We never say that.
Bill Chappell – Suntrust Robinson Humphrey: But was it meaningful to EPS?
Mark Pettie: It was down to year ago, Bill. I think that’s all we can offer.
Operator: Your next question comes from Joe Altobello – Oppenheimer & Co.
Joe Altobello – Oppenheimer & Co.: In terms of your top line it sounded like Mark you still expect in the second half to see some improvement but in regards to your guidance you gave out earlier this year, are you still backing the 2 to 4% growth?
Mark Pettie: You know, Joe, I think that the key message that I want to deliver today is we really are in uncertain times here and in many ways in uncharted waters. As we look at that internally that is obviously still our goal. If I were to, based on what we do know and there’s a lot we don’t know and more will become clear as we move forward, based on what we do know my guidance would be to the low end of that range at this point.
Joe Altobello – Oppenheimer & Co.: In terms of the economy obviously you did mention that most of your businesses are staples oriented, which brand and categories are most impacted by consumer downturn?
Mark Pettie: Well I think it’s not so much brands and categories specifically as it is when we look at our portfolio some of the items. You know, the ones we think may be most sensitive are the higher ring items. For instance you know we’ve got items that are in the $20 range like our Doctor’s business and things like that. And they can be considered to be perhaps more discretionary purchases. Now that business has continued to strengthen for us as I mentioned in my remarks. But it’s an example of the types of specific areas we’ve got to keep an eye on as we move forward. I think the vast preponderance of our products again in incident driven categories, we can expect to hold up reasonably well.
Joe Altobello – Oppenheimer & Co.: So it sounds like you’re not seeing any major slowdown in your categories or major trade down to private label.
Mark Pettie: Nothing of significance yet but I really do need to emphasize that we’re still in very much the early days on this and more will be unveiled as we move forward.
Joe Altobello – Oppenheimer & Co.: In terms of the A&P spend particularly in the OTC healthcare business looks like year-over-year the spend was up what $2.5 million bucks and your sales were relatively flat, and I’m just curious if that was more of a timing issue or was there spending that fell into this quarter where the revenue wouldn’t be felt until next quarter? Did the Allergen Block launch maybe go a little slower than you had thought originally?
Mark Pettie: No, you may recall Joe that in our last call and I think also in our Q1 press release we specifically mentioned that we would be making investments in the very latter part of Q2 around the Allergen Block launch with the expectation that the preponderance of the revenue we’d get back from that would fall into Q3. So that’s exactly what you’re seeing play out here, simply because it’s nothing to do with the timing of the selling or anything like that. It’s simply has to do with the timing of the start of our advertising relative to when we expect the consumption driven re-orders to occur and follow the revenue.
Operator: Your next question comes from Mimi Noel – Sidoti & Co.
Mimi Noel – Sidoti & Co.: I have one relatively simple big picture question. While it seems as though your new product introductions are relatively successful, they kind of fizzle out after call it 12 months. So it makes me wonder – it seems like you’re really having difficulty maintaining a baseline – baseline sales. So what would you tell me to reassure me that that’s not going to be an ongoing problem? Because it does seem like every quarter there’s some slippage in the legacy or not so legacy products.
Mark Pettie: Well, first of all I would say that we are pleased and I think this is the point you were making, if not I’ll emphasize it, we are pleased with year two performance of our new items, in particular the continued growth of Spray Gel and consumption growth on Earigate. So you know we’re happy with how those introductions are standing up on a post 12 month basis. What I think you’re referring to in terms of base slippage, I think needs to be broad into focus around the primary factor in OTC which is what’s happening in wart care. You’ll recall that that was the major contributor if not the full contributor to the overall slippage in the category – our overall offsets in the category last quarter. And that’s going to continue to be the primary drag on us for the balance of the year, simply because of what happened in the cryogenic segment. But beyond that, the balance of the products in the OTC portfolio with one or two modest exceptions are performing as we expect and I think holding up well.
Mimi Noel – Sidoti & Co.: And a follow up related question to B, you talk about your focus brands versus your nonfocus brands and I understand how perhaps nonfocus brands could be a source of cash flow. But beyond that, why hang onto them?
Mark Pettie: Well again you’ll recall that there is a subset of those as you call nonfocus brands that we are clearly intending to divest when we can get appropriate value for them. It’s a very, very uncertain market now. The timing on that remains TBD. We continue to dialog with prospective parties on that subset of brands which represents about 10% of our revenue base on a regular basis.
Mimi Noel – Sidoti & Co.: Are they products outside of personal care as well or just personal care brands that you talked about in the past?
Mark Pettie: Yes, the personal care brands represent the majority of that as they consistently have but as we’ve marked out our new strategy you may also recall that we added a number of our very small tail OTC brands to that group. Those tail OTC brands represent about 3 or 4 percentage points of that total 10% revenue and we’re adopting the same stance with those as have for some time with personal care which is they are ones that are not key to our future strategy. They are drag on our top line growth and while they are contributing cash, they’re not part of our long term picture. However they are providing value. They are providing cash. And so we’re being discriminating in terms of the values we’re looking to receive for them.
Operator: Your next question comes from Neely Tamminga – Piper Jaffray.
Neely Tamminga – Piper Jaffray: Just want to flush out a little bit more on the relationship with the retailers right now. As you may be aware, October sales are being reported this morning and it is grim indeed and the expectations are for an even grimmer outlook in November, whether you’re talking to Wal-Mart or Target and what have you. And just really kind of two questions here. One would be could you give us a sense of maybe how the different types of retailers whether you’re talking to the mass merchants, drugstores or food outlets, traditional food outlets, how they might differ in terms of how they’re asking to have products flowed to them in weeks of supply, etc.? Are they looking to take those weeks supply down if they’re down historically in crunchier times? And then maybe secondly not intending to be the grim reaper on the call here but it is very clear, at least from a retail analyst here on this side of the phone that we potentially could be seeing some store closings and chain closings this next year. Just wondering what sort of smaller chain percentage mix up to some of your distribution and then whether or not you’ve actually taken in an allowance for doubtful accounts?
Mark Pettie: Let me try and take those in the order that you asked them. I would say as far as inventory positions the retailers that we deal with, we haven’t seen any significant change in their approach to that in terms of the overall levels they’re trying to hold from weeks supply standpoint. They have generally kept a very low weeks supply on our products historically and Wal-Mart continues to keep the pressure on, obviously, as the kind of industry leader, the vanguard leader in that regard. But our sense is we are at comfortable levels with even them at this stage of the game. We haven’t seen any meaningful change in their behavior nor in the behavior of the other channels. What we are seeing is some channel shifting in terms of where our purchases are coming from. This continues a trend that we saw actually in the first quarter where some of the purchases that historically may have been made in the food channel seem to be migrating over to the mass channel and some of the mass channel purchases seem to be migrating even further downstream if you will to the dollar stores. And so we’re keeping a close eye on that trend. Overall it’s not impinging on our business but it is causing us to re-visit the emphasis placed on each of those particular channels. You know, with respect to the question on the third part of your question –
Neely Tamminga – Piper Jaffray: The smaller chains, how much of your business –
Mark Pettie: That’s right. We do about 65 to 70% of our business with our top ten retailers and the balance of it with the smaller chains. We’re keeping a very close eye on the smaller chains. So far the cash flow coming from them, their payment streams have been consistent with history. But our credit department has done a very good job isolating the potential risks in that downstream set of accounts and stepping up our vigilance on them. We haven’t done anything in particular with respect to upping reserves at this point but we are paying much closer attention into that group of accounts than we have historically. And I think that’s what’s called for at this stage of the game. I’ll let Pete comment further if he likes.
Peter J. Anderson: Yes, the other thing we’ve done, Neely, is that we have insured a group of smaller accounts so there’s insurance out there in the event there is an issue.
Neely Tamminga – Piper Jaffray: And have you actually changed any of your payment requirements for some of these smaller chains to payment up front or something to that effect?
Peter J. Anderson: No, we traditionally have been pretty well right on top of them. So what we are doing is if anybody you know misses a payment or it starts to slow down, they get a call very quickly.
Operator: Your next question comes from Olivia Tong – Merrill Lynch.
Olivia Tong – Merrill Lynch: Just wanted to get back to the top line outlook of sort of at the low end of the 2 to 4, I think that’s still – if my math is correct, that still implies 7% growth in the second half. I’m just wondering sort of if you could walk me through a little bit the components in that?
Mark Pettie: Well, without being specific because we don’t go to that level of detail, I will tell you that the same drivers that we discussed on the first quarter call prevail and that principally is our new item launches, led by the Allergen Block products, and also there are several other new items in our cough/cold categories that are just gaining traction as we head into this season. So the combination of the Allergen Block launches and the cough/cold new items are a key part of that change. The other thing I’d say is from back to a little bit of what Neely was asking, from an inventory standpoint starting last year the retailers in their cough/cold set went to more of a consumption driven purchase cycle on their cough/cold products, meaning that instead of taking a big load or a big preseason buy at the end of the second quarter, they pushed more of those sales into the third and fourth quarter as they waited to see how the cough/cold season played out. This year we’re seeing even more of that and as a result on a year-over-year basis we’d expect the cough/cold business for our second half, just in general baseline forgetting even the introduction of new products, to be up versus year ago. And the last piece of it is our Little Remedies business was really affected last year in the second half by the absence of the two cough/cold SKUs we voluntarily withdrew. This year on a year-over-year basis we actually have those back with a few of the retailers as I mentioned, so the comps this year to last year on the back half of Little Remedies are much more generous. If you take all those factors and roll them up that – those are the key drivers that are pushing us to as I said improve organic growth in the back half.
Olivia Tong – Merrill Lynch: On Compound W I know you’re expecting it to continue to be down year-over-year in the second half but should the slowing – should the slowdown continue at this run rate or do you expect it – the deceleration to get better?
Mark Pettie: Again we won’t give out specific numbers from a forward-looking standpoint but I will offer that we would expect the run rate in the back half to be much closer to what we experienced in the second quarter than what we experienced in the first.
Peter J. Anderson: And the other point there, Olivia, is that the winter months are the lower sales months for the wart removal products.
Olivia Tong – Merrill Lynch: On the last call you had referenced a mid-year price increase on about 10% of the business. Is that still the case?
Peter J. Anderson: Yes. Yes that is. And the average price increase on that 10% of the business is about 5%.
Olivia Tong – Merrill Lynch: Can you talk about which brands that’s affecting?
Peter J. Anderson: It’s across SKUs primarily within the household segment, not the whole brands but the various SKUs.
Olivia Tong – Merrill Lynch: And then on G&A the decline as a percentage of sales is that all from legal expense or are there other pieces in there as well?
Peter J. Anderson: Primarily legal was the big one. Most of the other categories were pretty flat the last year.
Operator: Your next question comes from [Unidentified Analyst] – William Blair & Company LLC.
Unidentified Analyst – William Blair & Company LLC: It sounds like the Allergen launch went pretty well. I was just wondering kind of as you’re working with retailers here are you getting an idea is this going to be a bigger opportunity than you thought or is it just kind of meeting your expectations? How do we kind of think of that?
Mark Pettie: Yes again Ryan it’s very early days. The launch is meeting our expectations based on the metrics we have in hand right now. So it would be I think inappropriate to forecast either way off it right now. We’ll obviously have a better look at to share with you as we get through our third and then certainly our fourth quarters.
[Unidentified Analyst] – William Blair & Company LLC: And then just from – just understanding that how does the seasonality in that business work?
Mark Pettie: There are really two allergy seasons, outdoor allergy seasons in the U.S. There is the fall allergy season which generally tends to run from mid-September through late October. And then there is a spring allergy season which actually is the bigger of the two seasons which tends to run kind of April through June. So obviously retailers will take a position on allergy products in advance of each of those seasons. We caught the second season with our sell in simply because that’s when they tend to reset that part of the category. But obviously we’re looking forward to the benefits of their advance buys on the bigger, April – June season as we look to our fourth quarter.
Operator: Your next question comes from [Reza] – Barclay Capital.
Reza – Barclay Capital: Yes. Actually my questions have largely been asked but I’m just wondering how closely do you monitor and how accurately inventory at retail?
Mark Pettie: Well we keep an eye on inventory retail two ways. We have consumption models that we run in house where we use factory sales, IRI and POS data to drive our own calculations. And then we try and do is corroborate those by spot retail audits with our field regional vice presidents who periodically go into the customers and do some cross-checking with them to determine what the actual inventories are from the customer’s standpoint.
Reza – Barclay Capital: But unlike POS you’re not getting actual physical inventory estimates from your key customers?
Mark Pettie: We don’t get them on a regular basis but as I mentioned when we ask for them we can get them.
Reza – Barclay Capital: And you talked about some higher costs. Are you largely able to offset those costs whether its through pricing mix or any kind of efficiencies?
Peter J. Anderson: Yes. As you may recall we’ve had a ongoing cost reduction program virtually since Mark walked in the door and that has served those well. In fact up until probably the first quarter of this fiscal year when oil prices went crazy we largely were ahead of the curve. First quarter because of that dramatic rise we held our own. And then we’ll see where we go from here. Certainly the downward oil pricing and other commodity pricing looks like it’s going to moderate those increases.
Reza – Barclay Capital: And are there product lines that you are more concerned around unfavorable mix trends than others?
Mark Pettie: I’m not sure specifically what –
Reza – Barclay Capital: Where would you possibly see potential trade down and therefore negative sales mixing in your product portfolio?
Mark Pettie: Well again to my earlier remarks, the ones that we will be monitoring most closely will be the items in our line that have the individual SKU high ring. I used the Doctor’s NightGuard, which is our anti bruxism device as an example because our average retails there are between $20 and $25 and there is a private label alternative in that category. So when you get to that kind of out-of-pocket expenditure for an individual item, particularly one that can be judge to be somewhat more discretionary, it’s an example of one that I would consider to be more vulnerable than a $5 or $6 purchase of a strong brand like Chloraseptic in the sore throat category where the differences in price between us and private label, coupled with the strength of our brand, give us what I believe is more insulation.
Operator: Your next question is a follow up question from Joe Altobello – Oppenheimer & Co.
Joe Altobello – Oppenheimer & Co.: In terms of market your comments earlier to Neely’s question regarding the shift amongst channels from food to mass and mass to dollar, what kind of impact is that having on margins? And what should we expect going forward?
Mark Pettie: You know it’s really having a diminutive impact on margins, Joe. In particular on the food to mass changes because the margins we earn from our mass customers are essentially equivalent to the ones we earn with our food customers. The mass to dollar is generally happening in our household business, in particular, which is – household is the piece of our business where we have the biggest presence with dollar. And there through cost reductions as Pete was talking about and specific pricing actions, we’ve also been able to hold our own. So we’re not really feeling as though that kind of channel shifting, at least at this stage of the game, is going to be a real impediment to what we expect to get out of our gross margin profile.
Peter J. Anderson: You know, Joe, just to add to that the dollar store products we size to fit the dollar store price points, so to Mark’s earlier point the margins are very similar, dollar to mass.
Mark Pettie: In some cases the dollar store customers also pick up which helps us on the distribution leg of the margin structure.
Operator: And your next question is another follow up question from Mimi Noel – Sidoti & Co.
Mimi Noel – Sidoti & Co.: I wanted to ask about advertising. Have you seen reduced rates in the marketplace lately?
Mark Pettie: We haven’t seen reduced rates per se in terms of rate card, Mimi, but you may recall that one of our marketing innovation initiatives this year was to take a look at how we at Prestige buy advertising. And we’ve been experimenting with different approaches to buying this year across a handful of our brands and it’s really a walk before we run sort of thing. But on the brands where we have gone to a different approach to buying, utilizing a different buying agency and a different mix of media, we’ve been happy with the result in terms of the efficiencies we’ve been able to get. Now that’s a statement for our buying prestige, not an industry statement that I think you were asking. But I did want to bring that out because we have talked to that in the past.
Mimi Noel – Sidoti & Co.: And how much do you spend annually on advertising if you strip out the promotional expenditure?
Mark Pettie: We don’t give those specific number either, Mimi, but I will say that the majority of what you see in the A&P line is advertising.
Operator: You have no questions at this time, sir, and I would now like to turn the call over to Mark Pettie for closing remarks.
Mark Pettie: Just thanks again folks very much for listening in today. We look forward to chatting with you again with our Q3 results. Have a great day.
Operator: Thank you for participation in today’s conference. This concludes the presentation and you may now disconnect.